Operator: Please stand by. Good day everyone and thank you for you patience and standing by and welcome to the Cintas Quarterly Earning Results Conference Call. Today's call is being recorded. At this time, for opening remarks and introductions, I will turn things over to Mr. Bill Gale, Senior Vice President of Finance and Chief Financial Officer. Please go ahead, sir.
William C. Gale - Senior Vice President and Chief Financial Officer: Good evening and thank you for joining us tonight. With me this evening is Mike Thompson, Cintas's Vice President and Treasurer. The Company reported revenues and net income inline with its plan for the year. Revenues increased 6% over the first quarter of last fiscal year to $969 million. Earnings per share were $0.51 this year compared to $0.53 in the first quarter of last year. Last year’s numbers included a credit, due to the adoption of FAS 123R with a change in the forfeiture rate. This year’s results include a more normalized expense related to share based payments as well as higher legal and professional services. Additionally, as we have explain previously, Cintas has adopted a new sales organization, that in the short-run will have an increased investment in selling expense, but should result in higher growth in all business segments. Net income was $81 million, representing 8.4% of revenue. Rental gross margins were approximately the same as last year, while other services gross margins continue to improve as the emerging businesses are First Aid & Safety and Document Management continue to grow at very exciting rates. In fact, we have expanded our segment data to give more visibility to these newer businesses as they are having a larger impact on our results. As you review the supplement data included in our release, please note the split of other services to the following. Uniform direct sales, which also includes our catalog business sold on our rental routes, First Aid & Safety and Fire protection and Document Management. Mike will talk more about these in his comments. Organic growth in our rental business did improve modestly from the fourth quarter last year. We expect that organic growth should continue to improve as we move throughout the year barring any significant economic downturn. As mentioned in the release, we are excited to announce that Cintas has made a modest entry into Europe with it’s acquisition of an outstanding document management company based in the Netherlands, Certo Information Management. While this company is small it provides us with an excellent opportunity to expand in Europe, potentially not only with document management services but also with some of our other service offerings. Our current guidance of revenues and earnings per share for the fiscal year ending May 31st, 2008 remains unchanged and calls for total revenues of $3.9 billion to $4.1 billion and diluted EPS of $2.15 to $2.25. With the end of our quiet period in conjunction with this earnings release and with our strong balance sheet, we will be able to resume share repurchases under the parameters provided to us by the Board of Directors under the remaining $420 million authorized amount. The Private Securities Litigation Reform Act of 1995 provides a Safe Harbor from civil litigation for forward-looking statements. This conference call contains forward-looking statements that reflect the Company’s current views as to future events and financial performance. These forward-looking statements are subject to risks and uncertainties which could cause actual results to differ materially from those we may discuss. I refer you to the discussion on these points contained in our most recent filings with the SEC. I will now turn the call over to Mike, who will discuss this quarter’s results in more detail. We will then be happy to answer your questions.
Michael L. Thompson - Vice President and Treasurer: Thanks Bill and good evening everyone. Total revenues were $969.1 million for the quarter, a 6% increase over that reported in the prior year. Internal growth was 4.2% during the first quarter, which is comparable to our internal growth rate for the fourth quarter of fiscal, 2007. Weakness in our direct sales business was offset by improved internal growth in our repetitive service businesses including our Rental Uniforms and Ancillary Products operating segment. As a reminder, our first quarter had 66 work days, the same number of work days as the first quarter of fiscal 2007. For the remainder of fiscal 2008, the work days will be as follows; for the second quarter, 65 work days which is the same as the second quarter from fiscal 2007. Third quarter will have 65 work days which is one more work day than the third quarter of fiscal 2007 and 65 days… work days in the fourth quarter which is one less work day in the fourth quarter of fiscal 2007. As Bill mentioned, we now report our results in four operating segments as well as the corporate segment. The largest of the operating segments is our Rental Uniforms and Ancillary Products segment. Previously titled rentals this segment reflects the rental and servicing of uniforms and other garments, mats, mops, shop towels and other related items. We also provide restroom and Hygiene products and services within the segment. We are the largest provider of both, corporate identity uniforms and facility services in North America. No change has been made to this segment other than we have renamed it the segment to more properly describe the services provided within it. Uniform ancillary product revenues were $710.4 million for the quarter compared to $687.7 million in the first quarter last year, a 3.3% increase. Factoring out acquisitions made over the last 12 months, our rental organic growth rate was 3% for the first quarter, which is an improvement over the 2.5% internal growth in fourth quarter of last year. This growth is in line with our internal first quarter projections. The organization of the new sales structure is complete and we are seeing positive results. All positions under the new structure have been filled at all levels and our new sales representatives are gaining experience and expertise. New business leading indicators continue to be positive with sales force turnover continuing to remain below historical levels. Sales representative productivity continues to improve as new sales professionals gain experience and build their sales pipeline. Communication across the sales organization is improved and cross selling activity has strengthened. External economic pressure exists as traditional Uniform line industries continue to experience declines in employment levels. We would characterize the current economic conditions as being fairly consistent with that experienced in our fourth quarter of last year. In spite of this external pressure, we continue to grow our Rental Uniform and Ancillary Products operating segment. This has been achieved by consistently expanding our serve market and by providing Rental customers with additional products and services such as entrance mats, restroom supplies and restroom cleaning services. While we expect the economic headwind will continue, we believe the continued maturation of our new sales organization will combine with our focus on customer service to result an improving revenue growth as we move through fiscal 2008. Our Uniform direct sales operating segment incorporates our national account sales division, which directs sales Uniforms, Rental promotional products, other related products, to national and large regional customers and our direct sales catalog which direct sales uniform and related products primarily to local customers who also rent products from us. During the first quarter, this business grew 1.5%. Organic growth for this business was also 1.5%. Sales within our national account sales division have softened. Unlike our prior two fiscal years, there have been very few program rollouts with our existing customers in the hospitality and gaming industries. This business tends to be a choppier business as customers decide when and how often to institute new image programs. We expect the softness… the softness in this business to continue in the near-term. Our third operating segment is First Aid & Safety and Fire Protection services. Within this business, we provide on-site delivery of first aid products, safety products, and automatic defibrillators, and we provide safety trend for our customers and employees. We inspect, repair, and recharge portable fire extinguishers and sprinkler systems and we provide and service emergency lighting systems and kitchen fire suppression systems. We are the largest on-site providers of First Aid & Safety products in North America and the second largest providers of Fire Protecting services. During the quarter revenues within our First Aid & Safety and Fire Protection operating segment grew 15.8%. On an organic basis, this segment grew approximately 8% as compared to approximately 10% in the fourth quarter of last year. Within Fire Protection, we sell and install certain fire suppression systems. The timing of the sell of these products and the related installations while intertwined with our other services within this space, are closer to our direct sale business than to the repetitive nature of most other sales within this segment. A combination of a large number of these installations in the fourth… in the first quarter of last fiscal year and fewer installations in first quarter of this fiscal year have caused the internal growth of this segment to the client. While the internal growth for this segment was below our expectations for the first quarter, we continue to believe this division will reach our double digit internal growth expectation for the year. We continue to make strategic acquisitions within this segment, with a particular focus and expanding geographic coverage of our Fire Protection business. As with our other businesses, we believe a full national presence will provide us with unique opportunities with large national customers and prospects. Our Document Management services operating segment is comprised mainly of document striding services, although, we do have some storage capabilities. Revenues within this operating service continue to grow at a very rapid rate and we are now the third largest providers of Document Management services in North America. First quarter revenues for the Document Management operating segment increased 78.1%. Internal growth for the segment was 43% in the first quarter, which is comparable to the 44% internal growth achieved during the fourth quarter of fiscal 2007. Paper prices have been very strong and do play a contributing factor to the internal growth rates. However, excluding these high paper prices, our shredding service revenue continues to be very strong, posting internal growth rates in the high 30s. We also continued to make strategic document management acquisitions in this business, with an emphasis on gaining full national coverage in the United States and Canada. As mentioned previously in the discussion of our Fire business, we believe a true national presence in all of our business services will provide us unique opportunities towards national customers and prospects. As Bill mentioned in his opening comments, we have now also expanded our Document Management business beyond North America, while the revenues from the Certo acquisition are not material to Cintas as a whole. This acquisition provides us with a very well run company in a fast growing industry. In addition to focusing on operating and growing this business, we hope to gain valuable experience in running an international operation. While we learn from operating this business, we will also continue to evaluate international opportunities and document management, as well as our other lines of business. Total company margins of 43.1%, improved 40 basis points, as compared to 42.7% in the first quarter of 2007 and we are comparable to the 42.9% in the fourth quarter of fiscal 2007. Improvement over the first quarter of last year was due to the continued improvement and emerging business margins. Our Rental Uniforms and Ancillary Products gross margin was 44.9% of revenue for the first quarter, which is very comparable to the 45% gross margin in the first quarter of fiscal 2007 and the slight improvement over the 44.7% gross margin in the fourth quarter of fiscal 2007. Other services gross margin improved 230 basis points over the first quarter of fiscal 2007, but down 40 basis points as compared to the prior year fourth quarter. The significant improvement in margins comes from the continued rapid growth in the First Aid, Safety and Fire and Document Management businesses. Margins in these businesses continue to improve, as they grow and cover infrastructure cost. This improvement can be seen in our new segment data with First Aid, Safety and Fire Protection margins improving 200 basis points and Document Management margins improving 120 basis points over the first quarter of last year. The 40 basis points decline in other services gross margin from last year's fourth quarter was due to lower revenues in our national accounts sales division. The significant growth within Fire Protection Services and Document Management Services is allowing us to gain scale in this business, driving margins higher. We expect other services gross margin higher. We expect other services gross margin to continue to improve, as these businesses continue to grow and achieve scale. Selling and Administrative expenses were 28.6% of revenue for the quarter, as compared to 26.7% for the first quarter of fiscal 2007. On a percent of sale basis, approximately 75% of the increase was increased selling expenses, resulting from the additional investment in our sales force. In reviewing our new segment information, you will notice the large amount of investment, we are making in our management infrastructure and our sales efforts within the First Aid, Safety and Fire Protection and Document Management emerging businesses. As our new sales organization gains momentum over the entire organization, we expect selling cost to begin to turn back to more traditional levels. The majority of the remaining 50 basis point increase in selling and administrative expense, related to an increase in legal and professional service fees. Also as a reminder, in last year's first quarter, we adopted FAS 123R share based payments and performed the detailed analysis of share based payment factors and assumptions including forfeitures. That analysis resulted in a cumulative adjustment that benefited the first quarter of last year by approximately $2.2 million. Going forward, we expect to have a more comparable year-over-year results. Selling and administrative expenses were 28.6% in the quarter versus 26.8% for the fourth quarter of fiscal 2007. Selling costs were up 30 basis points due to the investment in new sales structure, as we expected. During the fourth quarter of last year, we booked $6.2 million of miscellaneous income when we exited a forward starting swap. An increase in reserve for accounts receivable with traditional increases during our first quarter due to slower collections and the increase in legal and professional service fees were the other factors contributing to the increase. Net interest cost were 1.2% of revenue this quarter, consistent with both the first quarter and fourth quarters of last year. Our effective tax rate was 37.3% for the quarter, again consistent with last year. Net income for the quarter was $81.1 million and earnings per diluted share were $0.51 per share. While these figures represented a decline from last year they are in line with the projections for the year. Moving on to our balance sheet and cash flow, both remain strong. Our current ratio is 4.5 to 1. This ratio increased significantly since May 31st, mainly due to changes required in conjunction with our adoption of FIN 48, accounting for uncertainty and income taxes and interpretation of FASB statement number 109, which I will discuss in a moment. Cash and marketable securities decreased approximately $17 million, as we used maturing marketable securities to pre-fund VIVA account for medical benefits. DSOs and accounts receivables were 40, which is slightly higher than at May 31, 2007. Accrued compensation and related liabilities declined approximately $28 million as four less work days were required to be accrued at August 31st versus May 31st. Short-term accrued liabilities decreased due to the annual pre-funding of our VIVA medical account, our annual profit sharing and 401-K matching… match funding and timing on bond interest payments. Long-term debt at August 31, 2007 was $881 million. Total debt as a percentage of total book capitalization was 28.2%. Our long-term debt consists of $475 million in public debt, $393 million in outstanding commercial paper and $13 million of other bank debt. Throughout the first quarter, we were able to issue commercial paper at attractive rates experiencing solid demand. We suspended our share buyback programs throughout the first quarter while we considered various alternatives to enhance shareholder value. We have approximately $420 million of authorization under our share buyback program and we intend to be back in the market moving forward. As I mentioned, we adopted FIN or FIN 48 accounting for uncertainty in income taxes and interpretation of FASB statement number 109, effective June 1, the beginning of our fiscal year. Upon adoption, an entry was made to decrease opening retained earnings by approximately $14 million and a corresponding increase was recorded in the tax liability. Also as a result of adoption, our short-term deferred tax liability at May 31st was separated into its deferred tax asset component and a FIN 48 reserve. The total FIN 48 reserve on the liability side of the balance sheet is separated into its long and short-term components within accrued liabilities. Cash provided by operations was $57 million for the quarter when combined with the net marketable securities that matured during the quarter; we were able to finance $45 million in capital expenditures and $33 million in acquisitions without taking on additional debt. We continue to expect capital expenditures for the year to be between $170 million and $190 million. During the quarter we spent approximately $33 million acquiring mainly Fire Protection service and Document Shredding businesses. Going forward, we expect operating cash flows to remain strong. With that we will now open the call for any questions.
Operator: [Operator Instructions]. And first with JP Morgan we go to Mike Fox.
Michael Fox - J.P. Morgan: Good afternoon. Just a couple of quick ones. When you look at the Fire Protection business and the Document Management business, you talked about the margins should increase as you gain national scale. Can you talk about how bigger geographic presence you guys have today and how long you think it will take to get national?
Michael L. Thompson - Vice President and Treasurer: Certainly. In Document Management, we are in approximately 80 of the top 100 markets, obviously expanding very quickly in that space. Fire went approximately 60 of the top 100 markets. So, as we continue to expand, we will get further acquisitions to enhance that and then also greenfield startups where there is not an acquisition opportunity available.
Michael Fox - J.P. Morgan: Again with regard to the document management business, have you noticed any increase or decrease in the multiple that you guys have been paying?
William C. Gale - Senior Vice President and Chief Financial Officer: Probably, they have come down a bit, Mike, as we have basically, I think, established the presence in the major city that we wanted and bought some of the better companies. Now, as we look for other acquisition opportunities, we can take a little harder line and I think that you would probably, these are multiples down slightly from what they have been initially.
Michael Fox - J.P. Morgan: Okay. And then with regard to the international acquisition, can you give us an idea of kind of a timeframe what you guys are looking at as far as when you might grow that business or start to make more acquisitions there?
William C. Gale - Senior Vice President and Chief Financial Officer: Well, we are going to certainly be opportunistic in looking at when things become available. I would say, we don’t have a definitive plan that we want to be certain size in any particular period of time, but we are very aggressive in trying to understand the market over there. The management team that came with this acquisition is very well known on continent in this business and therefore will be very helpful to us as we expand. And I would say, it's just a matter of time and the right opportunities presenting themselves because we are committed pretty much to moving forward with this business over there.
Michael Fox - J.P. Morgan: Okay. And can you talk about, you guys have been… a lot of other… a lot of businesses for a long time and this is certainly one of your newer businesses, and venturing to Europe. Can you talk about, why you chose to go into Europe with the Document Management business, as apposed to some of the other businesses that you are in?
William C. Gale - Senior Vice President and Chief Financial Officer: Yes. The primary reason, Mike is the fact that the laws in Europe regarding privacy are just slightly behind with the laws in the U.S. and Canada have been. Therefore we believe, we are really in the forefront as this industry really starts taking hold in Europe. The other reason for doing document management is that as evidenced by what we have been able to achieve the first… the last couple of years in Document Management here. We believe that it is a very rapid growing company, a very rapid growing industry that we can take advantage of, doesn’t require significant capital investment and is a pretty quick start up as far as the ability to obtain, enough business to start making profits really quickly.
Michael Fox - J.P. Morgan: Okay, great. Thanks a lot.
Operator: Next we move on to Mike Schneider with Robert W. Baird.
Michael Schneider - Robert W. Baird: Hi, good evening guys.
William C. Gale - Senior Vice President and Chief Financial Officer: Hi, Mike.
Michael Schneider - Robert W. Baird: First, I guess, you had mentioned you are suspending the share repurchase program as a result of the strategic review. I guess that’s news to me. Can you tell us what you were exploring and indeed what you concluded?
Michael L. Thompson - Vice President and Treasurer: Mike as we have stated in the past, I really can’t get into any details or any specifics. What I can tell you is that we did spend time looking at various alternatives and now that we have finished that. We are ready to reenter the market in our own open purchases like we under the authorization that we have.
Michael Schneider - Robert W. Baird: So, the review is complete and presumably no actions that would interfere with buying back stock?
Michael L. Thompson - Vice President and Treasurer: Well, at least for right now it is and I think when you say complete, obviously, it’s come to a conclusion that enables us to get back into the market, but our Board is always committed to looking for ways to enhance share holder value.
Michael Schneider - Robert W. Baird: Okay. And on the organic growth in the rental division, take that as slightly sequentially. Can you give us a sense when you look at the components of growth, was that primarily driven by new sales account growth, accelerating sequentially?
Michael L. Thompson - Vice President and Treasurer: Yes, yes. Michael, I would say that the other drivers, when you take lost business at stops and price increases, I would say that’s very comparable to the fourth quarter in nature. And I would say that the growth is predominantly from the new business increase.
Michael Schneider - Robert W. Baird: Okay. And looking forward now, this Project One Team, as it relates just to the rental division. What are those factors do you expected to have the most impact, because I presume they could impact, certainly attrition rates and new business sales. But I am curious as to what you are targeting to experience the biggest benefit from Project One Team?
Michael L. Thompson - Vice President and Treasurer: Yes. I think it is going to affect all the components. I think the first one that we are targeting, obviously is the new business side because that’s where the focus one with the new sales organization, but certainly as we talk from the past, a significant reason to go to this organization was to allow our local management teams to focus on the servicing of customers and looking at ways to lower the amount of lost business and stops that are occurring. So, we hope to see it across the Board, but I would say, if you had to rank them the new business would be the first driver there?
Michael Schneider - Robert W. Baird: Okay. And then kind of different way, when you look at your different product lines now, what product like do you think stands the benefit most from Project One Team?
Michael L. Thompson - Vice President and Treasurer: I think out of the gate first, it’s the other services emerging businesses because you are bringing a lot of customers to that with Fire and Document Management especially, Fire. If you have a lot of customers that we have that you can use that service when you have thousand business customers, most of this are in a rental business as you know. So, I think out of the gate those emerging businesses should have the best opportunity, but we also believe this new sales organization… for the fact that we talked about previously are going to benefit all of the divisions.
Michael Schneider - Robert W. Baird: Okay. Then final question on Rental, you mentioned the sales force attrition or internal where it was below historical levels and that productivity was improving, but is productivity actually back to historic norms or above or below it?
Michael L. Thompson - Vice President and Treasurer: Productivity is I would say slightly above historical levels but you got to look at… depending on how you cut it with the tenure of the sales force. You can’t look at us at sales reps within their first year of higher and really get a field because that they are showing a base of nine to 12 months as you know.
Michael Schneider - Robert W. Baird: So, in other words, Mike, you are saying that the more tenured sales people are achieving productivity level today that are higher than what they were historically?
Michael L. Thompson - Vice President and Treasurer: Right.
Michael Schneider - Robert W. Baird: But because of the mix of our sales people, you know, we have a lot of newer sales people, so it hard to drive conclusion on the total sales.
Michael L. Thompson - Vice President and Treasurer: Yes, especially, when we promote a lot of those manager… sales reps in the managerial type of positions.
Michael Schneider - Robert W. Baird: Okay, that’s helpful. And then switching out the services and thank you for the detail on the segmentation… very helpful. When you look year-over-year, the First Aid and Safety margins have basically been flat just over 10% on an operating basis, yet Document Management is more nearly doubled say from 5% to 11%, can you give us a sense as to what that will look like going forward? Is there some reasons structurally that First Aid has yet to have a gain leverage or is there some reason that Document Management would maybe experience less leverage going forward?
Michael L. Thompson - Vice President and Treasurer: I would say that really the movement within the First Aid, Fire and Safety business, you have got a lot of fire locations that are coming online and we hope to increase the profitability there. I think as you can see we believe that the Document Management business is a very strong business, both from a growth and a profitability standpoint. Well, I continue to skyrocket each and others, it’s going to be upper limit obviously, but as we have been able to gain scale a lot quicker in that business just because of the effect businesses it is than we have in the Fire Protection Services business.
Michael Schneider - Robert W. Baird: Okay. Thank you again.
Operator: Move on to Brandt Sakakeeny with Deutsche Bank.
Brandt Sakakeeny - Deutsche Bank Securities: Just, I have got a couple quick house keeping items. First, do you have the stock comp for the quarter?
Michael L. Thompson - Vice President and Treasurer: I am sorry, I missed that. Can you repeat?
Brandt Sakakeeny - Deutsche Bank Securities: Yes, do you have the stock compensation charge for the quarter?
Michael L. Thompson - Vice President and Treasurer: Stock compensation?
Brandt Sakakeeny - Deutsche Bank Securities: Yes. Please.
William C. Gale - Senior Vice President and Chief Financial Officer: It’s about $2 million.
Brandt Sakakeeny - Deutsche Bank Securities: Okay, great. And then, obviously, you have done a good job in cost control particularly given what we have seen in fuel prices any color there? Are you able to pass those fuel price increases on to customers through better pricing or absorbing it or just sort of managing that better?
Michael L. Thompson - Vice President and Treasurer: The fuel price systems sales are about comparable to the first quarter of last year. We were at about 3.4% both in the first quarter of last year and the first quarter of this year. So, we haven’t seen any appreciable change from what we have experienced. In fact, it was about 3.4% in the fourth quarter of this last fiscal year. So, as a result, I would tell you that we were able a year ago to pass on… a year to 18 months ago to pass on some of these cost increases through to our customers. And that’s why our price increases were a little bit higher as we talked through in fiscal ’06. Right now though the cost of fuel are basically comparable to what they had been. So, there really hasn’t been a dramatic change there.
Brandt Sakakeeny - Deutsche Bank Securities: Okay, great. And then I think you talked to the ratio being flattish I think relative to the prior quarter. Did you see any behavior either in the months that might make you think that either things were improving or perhaps eroding a little bit at all and the numbers or was it even possible to get that granular?
William C. Gale - Senior Vice President and Chief Financial Officer: We look at it every week and I would tell you based on my review; there is not enough fluctuation to really tip say there is a directional change in any one month versus the other.
Brandt Sakakeeny - Deutsche Bank Securities: Okay, great. Finally, I guess any potential impact or color on the GM strike. I mean, I know obviously, autos are a big percentage, although, it’s not necessarily the OEMs. Do you expect anything favorable to come out of that or potentially unfavorable?
William C. Gale - Senior Vice President and Chief Financial Officer: We had very little business with General Motors. I am sure we had some business with some of their suppliers but the impact is negligible to Cintas. Going forward, I guess the health of the auto industry if it’s improved as a result of this settlement will certainly help our business here in the U.S. and Canada.
Brandt Sakakeeny - Deutsche Bank Securities: Okay, great. I am sorry; finally, can you remind us what you had left on the authorization?
William C. Gale - Senior Vice President and Chief Financial Officer: $420 million.
Brandt Sakakeeny - Deutsche Bank Securities: Okay. Thank you.
Operator: Now, onto your question from Scott Schneeberger, with CIBC World Markets
Scott Schneeberger - CIBC World Markets: Just a question on the pricing environment out there for Uniform Rental, are you seeing… you said it looks like solid sequential improvement in the organic growth. What do you see on the pricing front there?
Michael L. Thompson - Vice President and Treasurer: I would say it’s a very competitive marketplace, especially, with large national type customers.
Scott Schneeberger - CIBC World Markets: Okay. Thanks. And I guess looking down at the cost line; you had stated that heightened legal expenses had an impact in the quarter. Is that union related, perhaps related to your incident in Tulsa? Is that something I guess bottom line question here is that something that’s going to persist, how should we think about that going forward?
Michael L. Thompson - Vice President and Treasurer: Good question, Scott. It’s a… it’s basically all of the above, it had some costs associated with the incident in Tulsa, as well as the law suits that we disclosed in our 10-K
William C. Gale - Senior Vice President and Chief Financial Officer: There was a heightened period of discovery this past several months. So, I think that could have some impact on it. However, I would say that legal expenses are going to continue to be high as we… as these cases move themselves through the court system. And then we had some other professional services that we incurred that would probably not be repeated, so I would hope that overall we would see an improvement in the SG&A as we move forward through the year.
Scott Schneeberger - CIBC World Markets: All right. Thanks. And one final one if I could. It sounds like a little bit of a slowdown in Uniform sales, could you just give a little bit more color? You mentioned it could be lumpy year-to-year, and I think you indicated you think it’s going to be a little softer for foreseeable future. Just kind of a little bit bigger picture color there? Thanks.
William C. Gale - Senior Vice President and Chief Financial Officer: Yes it… we certainly are a little disappointed in the results in the direct sale Uniforms. That is the one area that surprised us a little bit coming out of the gate here this fiscal year. It looks like that many of the large lodging and casino gaming type businesses are not doing as aggressive a roll out as we initially had planned. So, our hope is that the… as we move throughout the year, we will be able to get some of that back. But it’s one of those businesses that is very choppy. We talked about that over the years, so we hope that we will see an improvement as we go throughout the year. But right now, I can’t say that for certainly that that’s going to happen.
Scott Schneeberger - CIBC World Markets: Thanks very much.
Operator: And now we will take a question from Bruce Simpson with William Blair
Bruce Simpson - William Blair: Hi guys.
Michael L. Thompson - Vice President and Treasurer: Hi Bruce.
Bruce Simpson - William Blair: First on SG&A, you talked about that returning to a more predictable level. And obviously, it was real highs as a percentage of sales for the quarter. So, when you talk about more traditional, more predictable levels, where we headed is it reasonable to think that’s kind of back in the 27 range?
Michael L. Thompson - Vice President and Treasurer: What we can say is we think they will improve as we move through the year, just like when selling cost with additional investment in that area that doesn’t come right back down, you need the revenues to grow. So, we think that will improve as we go forward, we also think as Bill mentioned, that we think the administrative portion of SG&A will begin to trend down. I think potentially on a 27 range… between 27 and 28, I would say, as we progress through the year, but it’s not as quick drop as you know.
Bruce Simpson - William Blair: Okay. And in terms of the absolute dollars, typically… sequentially is your progress through the years, its at least flat and usually going up quarter-to-quarter, would you still expect that or was there enough of this kind of one-time professional expenses that inflated in this quarter that’s going to come out?
Michael L. Thompson - Vice President and Treasurer: Yes. I would say there is… there has been enough of that to say that you are going to see a significant decline in the absolute dollars. I would look at it more on percent-to-sale basis.
Bruce Simpson - William Blair: Okay. And then turning focus to the European acquisition, moving forward, I mean, should we expect this to be a real foothold that you would relatively consistently look to a acquire your way throughout geographically… throughout Europe? Or is it rather this is kind of a just a toehold and you could let a half a year or even a year go by as you begin to understand the culture and financial dynamics of working over there without doing another acquisition?
William C. Gale - Senior Vice President and Chief Financial Officer: Bruce, I would say we want to be sure that we don’t make the mistake and get too aggressive over there. But on the other hand, I would tell you that we are… we have got a list of potential candidates for acquisition and if we can meet with the sellers at reasonable prices, we are not afraid to acquire a few more operations because we have a lot of confidence and the management team that came with us, with the acquisition in the Netherlands and we feel that, if we find the right opportunity at the right prices, we will certainly move forward.
Bruce Simpson - William Blair: Okay. Now, I think in the past you always indicated that you really didn’t think the Europe was particularly for the ground for Uniform Rental operation just because of the differences in economy and cultural Uniform and opportunities, so forth, is that changing? Or should we expect the growth in Europe to be in your emerging areas rather than on traditional Uniform?
William C. Gale - Senior Vice President and Chief Financial Officer: But what excites us about Europe is things like Document Management but also facilities services. So, while we may not be as bullish on Uniform Rental in Europe, we are very bullish on the facility services, opportunities that exists, both in Europe and as well in the U.K. In fact, in some case, in some respects the facility services business may have a little bit more potential over in Europe than it necessarily does here in US and we are very happy about the opportunities we have in U.S. So, we think that the Document Management and potentially, facility services will be the big opportunities for us in the short run.
Bruce Simpson - William Blair: Facility services still being reported in your Rental Uniform and Ancillary Products and by that you mean like Hygiene?
William C. Gale - Senior Vice President and Chief Financial Officer: Yes.
Bruce Simpson - William Blair: Okay. And that last thing, can you talk about the growth of Hygiene business is kind of buried within that bigger segment and in particular the UltraClean that had been grown in the pretty exponential rates and have you hit a certain level of maturity in that business?
Michael L. Thompson - Vice President and Treasurer: Well, we certainly have the rate… the rate of growth in that business has slowed somewhat as it has a bigger base but it still continues to grow. The Hygiene and UltraClean are growing faster than the Uniform Rental business is growing. I mean, we are still seeing the headwinds of the shift in types of labor that exists in the U.S. and therefore it is having an impact on our Garment Rental Programs. But the Hygiene in the UltraClean businesses are certainly the factor growing pieces of it albeit on a much smaller base.
Bruce Simpson - William Blair: So, when you told us earlier when you gave us… know that we got granularity on the operating segments, when you earlier gave us the organic growths rate, is that strictly beautiful rental or is that includes facility services?
Michael L. Thompson - Vice President and Treasurer: That includes facility service. That segment is exactly like used to be including all this. And that’s all with Rental segment.
William C. Gale - Senior Vice President and Chief Financial Officer: One of the things that we have is that we have is that, that business operates from the same facilities, the same management team. There is a lot of intertwining of that business together. So, we do not believe in the near future would be breaking that segment out any finer than what you are saying right now.
Bruce Simpson - William Blair: Can you tell us weather the Uniform Rental business alone is positive or negative growth?
William C. Gale - Senior Vice President and Chief Financial Officer: Well, as I think if you could imply from my comments that certainly is the slower growing or flattish part of that business right now.
Bruce Simpson - William Blair: Okay. Is it possible… I promise I will get off after this. Are you going to be able to give us historic information restated along these segment line or isn’t it possible? So, that we can compare year-on-year.
William C. Gale - Senior Vice President and Chief Financial Officer: We are just going to be doing at for the prior fiscal year and going forward. So, we are not going back beyond fiscal year ’07. But as we go through every quarter, we will show you not only the current quarter in fiscal year ’08 but also fiscal year ’07.
Bruce Simpson - William Blair: Okay. But we will wait to each quarter to get it… you are not going to give us the full fiscal ’07 now?
William C. Gale - Senior Vice President and Chief Financial Officer: Yes.
Bruce Simpson - William Blair: Okay. Thanks guys.
Operator: Next with Merrill Lynch, we have Michel Morin.
Michel Morin - Merrill Lynch: Yes. Good afternoon guys. First a quick one. The corporate line in the new segment data, why did assets drop 21%?
William C. Gale - Senior Vice President and Chief Financial Officer: That’s cash.
Michel Morin - Merrill Lynch: Okay. That’s a good answer. And then can you just on your Document Management plans, I think in your comments you mentioned that the focus was really on shredding and I just wanted to touch a bit more on that. Am I interpreting that correctly? Is the focus really on shredding or do you still have also a significant interest in pursuing the storage business?
Michael L. Thompson - Vice President and Treasurer: As I have said before, shredding is by far our immediate focus and the one that we are the most excited about. The storage side is intriguing to us and we have acquired a couple of operations but we have not expanded rapidly in that area as we have in the shredding side.
Michel Morin - Merrill Lynch: And the storage operations you are referring to are the ones in Ohio.
Michael L. Thompson - Vice President and Treasurer: Correct. We also have one right now in Indianapolis and a small one in Missouri. But, yes basically it’s in Ohio.
Michel Morin - Merrill Lynch: Great. That’s all I had. Thanks very much.
Operator: And now we will hear from Gary Bisbee with Lehman Brothers.
Gary Bisbee - Lehman Brothers: Hi guys. Mike, in the segment detail commentary you gave… you specifically mentioned the desire to make acquisitions in first day in Document, but didn’t say that in Uniforms, is that a signal of everything or is that just--?
Michael L. Thompson - Vice President and Treasurer: I think as we have mentioned in the past. We are being a little more conservative in the Uniform Rental space. I think we still look at all opportunities that are in that space. But again, we have a full geographic coverage in U.S. and Canada for Uniform models, so we can be a little more selective. But as we have shown about a year and a half ago, we bought Van Dyne Crotty. We saw a great opportunity and went after it and we still do make acquisitions in that space. But I tell you there our focus right now is on those emerging businesses, especially, Fire and Document Shredding. But again, we have a team that looks at all opportunities in all of our business lines and we will continue to make acquisitions one that can meet the thresholds with our rate of returns.
Gary Bisbee - Lehman Brothers: Okay. If you do go back as it sounds like you will, both purchasing stock, how are you planning to fund that with further commercial paper borrowing or--?
Michael L. Thompson - Vice President and Treasurer: We will evaluate that going forward. I think the commercial paper worked well for us over the last quarter. We had very attractive rates and had the good demand for it, something that we will obviously address. We have $600 million authorization in total work and our CP launch. So, we will have to do something at some point. If we do a lot but I think that’s something, we will just evaluate internally and obviously make a disclosure at that point in time when necessary.
William C. Gale - Senior Vice President and Chief Financial Officer: Gary, and also, we do generate a lot of cash from operations and we will certainly use some of that and the second quarter tends to be a pretty good cash generator for us, so that will help us also. But it’s certainly our responsibility to look out for more permanent financing opportunities if they present themselves and I am sure Mike and I will be doing that.
Gary Bisbee - Lehman Brothers: Okay. So, it’s safe to assume this whole credit crunch that happened, you didn’t see your commercial paper rates sky rocket or anything that was undesirable?
William C. Gale - Senior Vice President and Chief Financial Officer: Not at all. Not at all, it was very, very consistent for the quarter.
Michael L. Thompson - Vice President and Treasurer: Remember we are pretty highly rated so…
Gary Bisbee - Lehman Brothers: Yes. And then I guess just one question on the segment data, and I will echo my thanks to you for giving this. I guess when you look at the document management, obviously there has been huge profitability gain over the last year and the gross margin is far and away the highest in the business. Can you give us some sense on a relative basis? How you think about the composition of cost of goods sold versus SG&A? And I know you are not going to tell me where you think the margin ultimately end up at maturity, but is there some sense that as you look at all the businesses, there is not really that much structural difference? And what costs going those two lines?
William C. Gale - Senior Vice President and Chief Financial Officer: I think you asked two things. One paper prices have been very solid, recently that helps, but then also you have to remember that in document shredding you don’t have material cost. You are paying a driver, you have a plan that’s essentially on wheels, if you are shredding it at customer’s location, so margins are improved, but you are paying more in the SG&A lines to run the business from our operation so to speak, from the management perspective and from the logistics perspective. But not every material cost can actually turn around selling the paper makes a difference when paper prices are higher, again, some benefit there. So, I think, we see that the margins in that business over the long-term will be above what we have been experiencing historically in our Uniform Rental business, but we are not commenting on how high they can go and… but we do think it’s very positive.
Gary Bisbee - Lehman Brothers: Okay. And then just on that last point. Can you help me understand exactly how the economics of that work around selling the paper on the back end? And how much of the profitability comes from that? The business nicely profitable without that or can you give me any metrics to help understand that?
William C. Gale - Senior Vice President and Chief Financial Officer: We won’t provide metrics on it obviously, but we can tell you is the way it operates is not only are you picking up a very saleable commodity. So you are turning back around either bailing it at room side or selling into recycler and when the demand for that product is very high like it is currently, you are essentially covering a lot of cost by selling that paper. Though it’s very, it’s positive at this point in time and it's a… we believe, we will continue to be positive.
Gary Bisbee - Lehman Brothers: And then just one last question on this, at any point, would you consider giving us CapEx on this segment data in addition to assets and all the other numbers you are giving?
William C. Gale - Senior Vice President and Chief Financial Officer: Yes, we are looking at that and I would say that we hope to provide more detail on the next quarter.
Gary Bisbee - Lehman Brothers: Okay, great. Thanks a lot.
Operator: Now we will take a question from Chris Gutek with Morgan Stanley.
Christopher Gutek - Morgan Stanley: Thanks, hi guys.
Michael L. Thompson - Vice President and Treasurer: Hi, Chris.
Christopher Gutek - Morgan Stanley: Since your last call, I guess, it was about 18 seats and one could argue that's the macro outlook has moderated a bit and I guess in that context I am curious what is sort of embedded in the guidance to extent… reiterating the full fiscal year's revenue guidance. Have you in fact assumed that the economy soften a bit if so how much, is there something else in the business and self productivity or something else that’s ramping little bit better? We are on a better trajectory that might offset a slight macro softening since your last call.
William C. Gale - Senior Vice President and Chief Financial Officer: Chris, I would say that while we are… our original plan that we put together, we talked about in July upon which guidance was based, assumed that there would be a modest, continuing growth in the economy, but that the real impact that would happen to Cintas is that we would to accelerating organic growth as we move throughout the year as the Project One Team became more productive with regard to its ability to sell, generate new business to cross selling. But we still believe that is the case, while the overall economic environment, you say has moderated some. It really hasn’t changed our expect… from what our expectations were. It's certainly not a very rapid growth business, but we didn’t expect our rapid growth economy, but we didn’t expect that any way. So, my only concern is assuming there is not a recession, where we start to see a bunch of people being loosing their job and there is certainly no indication of that yet. I think that we feel pretty confident that the guy, the leads as it stands right now our guidance is solid and that we can achieve the guidance that we gave you.
Christopher Gutek - Morgan Stanley: Okay, fair enough. And then there as a follow-up on the notion of having done a… having completed a strategic review. It sounds like if I am interpreting your comments correctly, is that the… there is no intention of doing anything aggressively in the short-term here from a strategic perspective, but I am curious if there is anything still on the table short of what was considered as part of the strategic review for example try to monetize some of the real estate assets or changing some of your sourcing to buy uniform from Asia or anything else more from an operational perspective that could be incremental to margin improvement opportunities, you talked about in the past shy of the strategic review.
Michael L. Thompson - Vice President and Treasurer: Well, I think our job is always to look it for opportunities and the Board’s jobs is always to look for opportunities to enhance shareholder value along with management. So, everything is always on the table and we are always looking for ways to improve things, but we don’t’ look… both long-term and short-term is to what makes sense. So, that’s continued activity that we are all involved with.
Christopher Gutek - Morgan Stanley: Okay. Fair enough. And finally, just a quick one. Your press release mentioned the FIN 48 and accretion of tax liability. Could you explain what’s driving that or what the issue is around it?
Michael L. Thompson - Vice President and Treasurer: Sure. It’s actually with FIN 48 you are required to essentially analyze your tax reserves and has to be based on technical merits is to whether or not you can have something in your tax return that is separate from most on your financial statements. Based on that review, we essentially took our deferred tax liability, and if you look at the balance sheet, you essentially have that liability that was emplaced at May 31 and that has been broken down to the deferred tax asset and the accrued liabilities mainly in the long-term accrued liabilities, you will see that of the flip side portion of that come through essentially. And there was a $14 million additional reserve that we established through retained earnings, which is really based on the competition on technical merits of FIN 48. And so, I think when you go through that merit, you will see that that is essentially just a move from that deferred tax liability as of May 31 up until.
Christopher Gutek - Morgan Stanley: Okay, got it. Thanks.
Operator: [Operator Instructions]. We have a follow-up from Mr. Morin with Merrill Lynch.
Michel Morin - Merrill Lynch: Yes, hi, again. Very quick one. Energy cost, how has that changed over the year… year-on-year?
Michael L. Thompson - Vice President and Treasurer: Michel, we probably didn't hear it before, but I did say that it really has not changed at all over the last 15 months. It’s basically been about the same level of 3.4%.
Michel Morin - Merrill Lynch: Great. And do you have any plants, laundry facility either openings or greenfield openings or closings?
Michael L. Thompson - Vice President and Treasurer: No closings, we certainly have a few plants that will be opened this year. I don’t have the exact number, but it’s probably along the lines of last year three or four.
Michel Morin - Merrill Lynch: Okay. And then finally, there has been a little bit crackdown on checking for social security mismatches, and I was wondering if that’s something that affected you at all.
Michael L. Thompson - Vice President and Treasurer: Well, that’s been going on for couple of years and our operations periodically will receive a list from the social security administration saying that there are some mismatches and we work with our partners at those locations. Those partners are our employees, to try to help them resolve that situation. There certainly have been a few situations where the employee was using false identification and they are no longer with the organization as is required by law. But we certainly tried to assist our partners if those things are identified and often, we are able to work those things out with the social security administration.
Michel Morin - Merrill Lynch: Great, okay. Thank you and thanks again for the segment data as well.
Operator: And that is all the time we have for questions today. I will turn the conference back over to our presenters for any concluding or further comments they may have today.
Michael L. Thompson - Vice President and Treasurer: Thank you all for joining us. I hope that there were no more questions. We did not put a limit on the timeframe, so usually that’s… its more that there were no more questions. But we appreciate all of you being here and we will look forward to talking to you in the… for our second quarter earnings during the week of December 17.
Operator: Once again, everyone this will conclude today’s program. We thank you for joining us. Please enjoy the rest of your day.